Operator: Ladies and gentlemen, thank you for standing by. My name is Rob and I am your event operator today. I’d like to welcome everyone to today’s conference, Public Service Enterprise Group’s Fourth Quarter and Full Year Results 2023 Earnings Conference Call and Webcast. [Operator Instructions] As a reminder, this conference is being recorded today, February 26, 2024 and will be available for replay as an audio webcast on PSEG’s Investor Relations website at https://investor.pseg.com. I would now like to turn the conference over to Carlotta Chan. Please go ahead.
Carlotta Chan: Good morning and welcome to PSEG’s fourth quarter and full year 2023 earnings presentation. On today’s call are Ralph LaRossa, Chair, President and CEO and Dan Cregg, Executive Vice President and CFO. The press release, attachments and slides for today’s discussion are posted on our IR website at investor.pseg.com and our 10-K will be filed later today. PSEG’s earnings release and other matters discussed during today’s call contain forward-looking statements and estimates that are subject to various risks and uncertainties. We will also discuss non-GAAP operating earnings, which differs from net income as reported in accordance with generally accepted accounting principles, or GAAP in the United States. We include reconciliations of our non-GAAP financial measures and a disclaimer regarding forward-looking statements on our IR website and in today’s materials. Following the prepared remarks, we will conduct a 30-minute question-and-answer session. I will now turn the call over to Ralph LaRossa.
Ralph LaRossa: Thank you, Carlotta. Good morning to everyone and thanks for joining us to review PSEG’s 2023 fourth quarter and full year results. For the fourth quarter of 2023, PSEG reported net income of $1.10 per share compared to net income of $1.58 per share in the fourth quarter of 2022. Non-GAAP operating earnings for the fourth quarter of 2023 were $0.54 per share compared to $0.64 per share in the fourth quarter of 2022. Our non-GAAP results, excluding the items shown in attachments 8 and 9, which we provided with the earnings release. For the full year of 2023, PSEG reported net income of $5.13 per share compared to $2.06 per share for the full year of 2022. Our non-GAAP operating earnings of $3.48 per share for the full year came in at the high-end of our 2023 guidance range of $3.40 to $3.50 per share and marked the 19th consecutive year that we delivered results meeting or exceeding our guidance. Our fourth quarter 2023 financial results capped off a solid operating year. Building on this results, you can see on Slide 5 that we also reaffirm PSEG’s full year 2024 non-GAAP operating earnings guidance of $3.60 to $3.70 per share as well as our 5% to 7% earnings CAGR through 2028 and our $18 billion to $21 billion regulated CapEx plan that supports our rate base CAGR of 6% to 7.5% through 2028.  In rolling forward our 5-year capital plan to 2028, we added approximately $3 billion of investments to the prior plan that started from a year end 2023 rate base of $29 billion. These are all unchanged from our January 2024 investor updates and we continue to identify potential investment opportunities for future rate base growth. Dan will discuss our financial results in greater detail following my remarks. So I will focus on a quick look back then on our outlook and objectives for 2024. Since our last earnings call, PSEG has submitted two important filings at the New Jersey Board of Public Utilities. In early December 2023, we filed our $3.1 billion Energy Efficiency II investment program. This significantly expanded offering is driven by an increase in work to achieve the savings targets required under the BPU’s updated energy efficiency framework. If approved, this program will launch the state’s second energy efficiency cycle beginning in January of 2025 and run through June of 2027 with investments made over a 6-year period. Our EE2 filing aligns with the annual reduction goals of 0.75% for gas and 2% for electric contained in New Jersey’s Clean Energy Act of 2018, which are all unchanged and extends through the 2027 program year. In the interim, we continue to conduct our award-winning energy efficiency program, which remains oversubscribed. This last November, we filed for a second extension to this program totaling approximately $300 million covering the July through year-end 2024 period. As a direct result of these programs, PSEG is also advancing its Clean Energy Jobs program with a focus on lower and middle-income community hiring and training. Our EE programs continue to create value by lowering customer bills, reducing energy use and emissions and providing shareholders over the return of and on the energy efficiency spending. New Jersey continues to be a national leader in promoting the broad adoption of EE, and it remains an important tool in helping us reach New Jersey’s clean energy goals. The second regulatory filing we made in December was our first distribution base rate case in nearly 6 years. This case addresses 57% of our rate base, given that the other 43% is regulated under FERC Formula Rate. You are aware that this filing was required pursuant to the settlement of our second gas system modernization program back in 2018. The filing proposes an overall revenue increase of 9% and the typical combined residential electric and gas customers seeing a proposed increase of 12%, or less than 2% of compounded growth over the 6-year period. We expect the procedural schedule for this rate case to be issued in near term. And based on previous rate case time lines, we anticipate that this rate case will conclude later in 2024. The largest item in the rate case is to obtain recovery of our capital expenditures, already made to modernize system infrastructure and improve reliability, but not yet in rates as well as to implement recovery of expenditures for the previously approved AMI and electric vehicle programs. Besides capital recovery, the rate case proposes several mechanisms to mitigate the impacts of market volatility on customer bills, including insulating customers from swing in interest rates, severe weather events and revenue-related impacts of pension, providing for a more predictable monthly bill. We are also proposing a new time of use rates that will allow customers to save on their bills by shifting usage to off-peak periods, a rate option that can benefit all customers, including incentivizing residential customers to charge their electric vehicles during these off-peak hours. The BPU has added several commissioners in the past year. Governor Murphy recently appointed Michael Bange, a retired water utility executive with operations experience. The new commissioners continue to advance a full agenda and we already have several data points over the past 6 months that are consistent with prior results, including two recent rate case settlements that adopted the existing New Jersey return on equity rate of 9.6%. These agreements between the BPU staff, Rate Counsel, other interveners and the utilities demonstrate a continued preference for settlements over adjudicated cases in New Jersey. In 2023, the BPU also approved settlements to extend our GSMP II program for 2 years to invest $900 million on infrastructure monetization and greenhouse gas reduction as well as a 9-month extension for $280 million, covering our EE1 program through June of 2024. If you’ve followed us for several years, you know that we are also laser focused on cost containment. In 2023, we were able to lock in 4-year labor agreements with all our New Jersey represented employees, which addresses one of our largest O&M costs. This is just one example of our relentless cost discipline, which has positioned our distribution rate case increases to be the lowest in the state over the 6 years since our last rate case filing back in 2018. A comparison of our in-state electric and gas distribution rate increases since our last rate case is shown on Slide 12. PSE&G’s electric distribution CAGR was less than one-third of the average New Jersey electric CAGR and our gas distribution CAGR was less than half of the average New Jersey gas CAGR. PSE&G’s customer bills continue to compare very well with regional peers for residential electric and gas service and remain lower from a historical share of wallet basis. Of considerable note was our ability to reduce monthly bills for typical net residential natural gas customers with three commodity reductions during 2023 prior to the 2024 heating season. In addition to this focus on affordability, we continue to provide outstanding reliability. For the 22nd consecutive year, PSE&G received a ReliabilityOne award in the Mid-Atlantic metropolitan service area from PA Consulting, an industry benchmarking group. We are very proud this combines our reputation for reliability and our regionally favorable affordability with nationally recognized customer satisfaction scores. PSE&G ranked number one for the second consecutive year in the J.D. Power 2023 U.S. electric utility residential customer satisfaction study in the East among our large utilities. We also secured the top position in the J.D. Power 2023 U.S. electric utility business customer satisfaction study in that same region. Now, let’s turn to our capital investment programs. During the fourth quarter of 2023, PSE&G invested approximately $1 billion in energy infrastructure and clean energy, bringing the full capital spend to $3.7 billion, our largest ever single year expenditure. As I mentioned earlier, PSE&G finished 2023 with a total rate base of approximately $29 billion, which was a 10% increase over year end 2022 rate base. A key driver of this growth is our energy efficiency program, which continues to experience higher demand for residential and C&I offerings, accounting for close to $480 million of the $3.7 billion. Our infrastructure advancement program, which is focused on modernizing the last mile of our system, has never been more critical as activity in response to new service requests for EV make-ready and additional large specific projects, including data centers picks up. We also installed and placed into service 1.5 million smart meters through our CEF Advanced Metering program or AMI. The total AMI program, which is intended to replace more than 2 million meters in total, is expected to be completed this year, still on schedule and on budget. Now turning to our nuclear operations. The nuclear production tax credit provided in the 2022 Inflation Reduction Act began on January 1 of this year and extends through 2032 with a payment of up to $15 a megawatt hour based on nuclear units gross receipts. Our nuclear fleet operated 93% capacity factor for the full year of 2023, producing approximately 32 terawatt hours of carbon-free baseload energy, which included a Salem 1 breaker-to-breaker run between refuelings. In wrapping up, I want to note a few other highlights. For the 16th consecutive year, PSEG has been named to the Dow Jones Sustainability North America Index. And for 2024, PSEG will also be included in the S&P Global Sustainability Yearbook. U.S. News & World Report also recently named PSEG to its inaugural list of 200 best companies to work for. And in 2023, we were recognized by the CPA-Zicklin Index as a trendsetter for corporate political disclosure practices and accountability. We also completed the sale of our last fossil unit in Hawaii last year, making PSEG Power, one of the few carbon-free baseload generating fleets in the country. This fleet is well situated to benefit from potential data center growth, hydrogen hubs and a license extension with none of the potential upside in our current 5-year plan. PSE&G continues to execute on a robust set of growth investments aligned with New Jersey’s energy policy goals as well as expected growth from increased electrification, including EV adoption, port electrification as well as new business, including data center loads. These last two mentions were recently recognized by PJM in their January 2024 load forecast report for RPS zone. We are very pleased with the progress made thus far to increase the predictability of PSEG, an important part of achieving this comes from our ability to execute on our current 5-year capital investment plan without the need to issue new equity or sell assets. PSEG has delivered on what we said we would do, and I look forward with confidence in this team’s ability to continue to execute on our business plan in the years ahead. I’d like to close my remarks by thanking all 12,500 plus PSEG employees for their dedication and safety, reliability and our customers. I’ll now turn the call over to Dan to discuss our financial results and outlook in greater detail and I’ll be available for your questions after his remarks.
Dan Cregg: Thank you, Ralph and good morning everyone. As Ralph mentioned earlier, PSEG reported net income of $5.13 per share for the full year of ‘23 compared to net income of $2.06 per share for 2022. Non-GAAP operating earnings for the full year of 2023 were $3.48 per share compared to $3.47 per share for 2022. For the fourth quarter of 2023, net income was $1.10 per share compared to $1.58 per share in 2022, and non-GAAP operating earnings were $0.54 per share for the fourth quarter of 2023, compared to $0.64 per share in 2022. We’ve provided you with information on Slide 7 and 9 regarding the contribution to non-GAAP operating earnings per share by business segment for the fourth quarter and full year of 2023. Slides 8 and 10 contain waterfall charts that take you through the net changes, the quarter-over-quarter and full year periods and non-GAAP operating earnings per share by major business. Starting with PSE&G, we reported fourth quarter 2023 net income of $0.58 per share compared to $0.70 per share in 2022. The PSE&G had non-GAAP operating earnings of $0.59 per share for the fourth quarter of 2023 compared to $0.70 per share in 2022. The main drivers for both net income and non-GAAP operating earnings results for the quarter were growth in investments in transmission and gas distribution. These favorable items were offset by the expected decline in pension income and lower OPEB-related credits as well as anticipated higher depreciation, amortization and interest expense resulting from higher investments, not yet reflected in rates and the timing of O&M in the quarter that was within our expectations for the full year. Compared to fourth quarter 2022, margin was $0.03 higher, driven by transmission at $0.01 per share, and gas margin also at $0.01 per share higher, primarily driven by the clause recovery of our GSMP investment. Other utility margin was also $0.01 per share favorable. Distribution O&M expense increased $0.05 per share compared to the fourth quarter of 2022, reflecting seasonality and operational timing. But for the full year, distribution O&M was flat versus 2022. Depreciation and interest expense each increased $0.02 per share compared to the fourth quarter of 2022, reflecting continued growth in investment. Lower pension income resulting from 2022’s investment returns, combined with lower OPEB credits, which ended in 2023, resulting in a $0.04 per share unfavorable comparison to the year earlier quarter. Lastly, the timing of taxes recorded through an effective tax rate, which nets to zero across the full year and other flow-through taxes had a net unfavorable impact of $0.01 per share in the quarter compared to 2022. Weather during the fourth quarter, as measured by heating degree days, was 15% warmer than normal and 13% warmer than the fourth quarter of last year. As we’ve mentioned, the Conservation Incentive Program, or SIP mechanism limits the impact of weather and other sales variances positive or negative on electric and gas margins while helping PSE&G broadly promote the adoption of its energy efficiency programs. Growth in the number of electric and gas customers, the driver for margin under the SIP mechanism has remained positive with each up by about 1% in 2023. On capital spending, as Ralph mentioned, PSE&G invested approximately $1 billion during the fourth quarter and completed its largest single year investment program at $3.7 billion for the full year. The program included upgrades and replacements to our T&D facilities, Energy Strong II investments, last mile spend in the infrastructure advancement program, ongoing gas infrastructure replacements via base and GSMP II spending, continued rollout of the clean energy investments in energy efficiency, smart meter installation and EV make-ready infrastructure. We recently rolled forward our 5-year regulated capital investment plan to 2028, amounting to $18 billion to $21 billion, which incorporates both the new $3.1 billion CEF-EE II filing as well as the $300 million expansion of the existing EE program through the end of 2024. For 2024, our regulated capital investment plan totals approximately $3.4 billion. Moving on to PCG Power and Other. For the fourth quarter of 2023, PCG Power & Other reported net income of $0.52 per share compared to net income of $0.88 per share for 2022. Non-GAAP operating loss was $0.05 per share for the fourth quarter of 2023 compared to a non-GAAP operating loss of $0.06 per share for 2022. For the fourth quarter of 2023, net energy margin rose by $0.05 per share after including lower capacity revenues that were $0.03 per share unfavorable and gas offset were lower by $0.01 per share compared to the year earlier quarter. O&M comparisons in the fourth quarter improved by $0.01 per share, driven by the absence of a Hope Creek refueling outage.  Lower interest expense was $0.01 per share favorable, primarily the result of lower collateral requirements. Lower pension income from ‘22 investment returns and OPEB credits from the lower amortization benefit were $0.03 per share unfavorable versus fourth quarter of 2022. And taxes and other were $0.03 per share unfavorable compared to the fourth quarter of 2022, reflecting a partial reversal of the effective tax rate benefit from the first quarter of 2023. On the operating side, the nuclear fleet produced approximately 7.3 terawatt hours during the fourth quarter and 32 terawatt hours for the full year of 2023, running at a capacity factor of 86% and 93% for the quarter and full year, respectively. At year-end 2023, PCG Power had hedged approximately 90% to 95% of its expected generation for 2024 and at an average price of $38 per megawatt hour, up from $31 per megawatt hour in 2023.  Touching on some recent financing activity. As of December 31, PSEG had total available liquidity of $3.4 billion, including $54 million of cash on hand. PCG Power had net cash collateral postings of approximately $113 million at December 31, more consistent with historical experience and substantially below the elevated levels seen during 2022. This reduction in collateral also helped to bolster PSEG’s cash from operations to $3.8 billion for the full year 2023 versus $1.5 billion for the full year of 2022. At year-end 2023, PSEG had $500 million outstanding of a 364-day variable rate term loan maturing in April 2024 and PCG Power had $1.25 billion outstanding of a variable rate term loan maturing in March of 2025. We’ve swapped a total of $1.4 billion from these two term loans at PSEG Power and PSEG from a variable to a fixed rate to mitigate variability in interest rates. As of December 31, reflecting our swaps, approximately 4% of our total debt was at a variable rate, which is down nearly 8% since year-end 2022, driven by a reduction in parent short-term debt of nearly $1.7 billion. We continue to maintain solid investment-grade ratings. Looking ahead, we expect that PSE&G’s considerable cash generation combined with PCG Power’s enhanced cash flow visibility from the nuclear PTC will support the execution of PSEG’s 5-year capital spending plan, which is dominated by regulated CapEx without the need to issue new equity or sell assets. In closing, we executed on our 19th year in a row of meeting or exceeding our non-GAAP operating earnings guidance. We are reaffirming PSEG’s full year 2024 non-GAAP operating earnings guidance of $3.60 to $3.70 per share, and we are reaffirming the extension of our 5% to 7% operating earnings compounded annual growth rate through 2028. That concludes our formal remarks and we are now ready to begin the question-and-answer session.
Operator: [Operator Instructions] The first question is from Shahriar Pourreza with Guggenheim Partners. Please proceed with your question.
Constantine Lednev: Hi, good morning, team. It’s actually Constantine here on for Shahriar. Congrats on a great quarter.
Ralph LaRossa: Hi, Constantine.
Dan Cregg: Hello, Constantine.
Constantine Lednev: Good morning. Starting off on the power side of the business, do you see any further upside to earnings contribution from nuclear going beyond the sale of operates and refueling cycle adjustments like Hope Creek in ‘25 and maybe any pushes and takes as these could be accretive versus the utility growth on a consolidated basis?
Ralph LaRossa: Constantine, I think we’ve been mentioning for quite some time that we’ve got – we potentially have some upside down from PPAs or something similar to that. But we’re going to look at what the state – how the state moves from an economic development standpoint and then make some decisions from there. And let me give you a very specific kind of thought process. We’ve done a lot of work down and around the plan in anticipation of the wind port. And so that work progressed and the state has been very happy with it. They have got some manufacturers that are either in the process of moving into that area or still considering it. But if they don’t use all of that area, maybe we could look at electrolyzer set up that could be down in that vicinity that could provide us with an opportunity. Maybe there could be a data center down in that area. But all of those things really are driven by the growth that the state is looking to do from an economic development standpoint. And as we have done for many years here aligns with the policy of the state and that’s going to enable us to continue to excel. So I think there is some upside. None of that is in our plan. None of it has been in our plan, and we’re just going to keep our options open.
Constantine Lednev: Okay, and any particular timeframe that you are looking at or now ongoing?
Ralph LaRossa: No, no. I think once we get a couple of years out here, we will be able to see – there is exert still in place through ‘25 and as all the companies are talking about a noise on the PTC rules need to come out. And once all of that comes together, we will be able to look at a plan to optimize the revenues from those plants.
Constantine Lednev: Okay. Perfect. And maybe shifting to PSE&G for a little bit. Do you have any thoughts around any lessons learned around recent rate proceedings in the state? And just how are you thinking in terms of update filings through the process and maybe the activity around settlement negotiations like any deal breakers or settlement like ROE or anything else?
Ralph LaRossa: Yes. Constantine, I think the biggest lesson learned is that New Jersey has its act together. I really think that the state – if you look at what has happened recently with JCP&L and Atlantic City Electric, really good outcomes. And I wouldn’t say everybody is always – people are always looking for a little more here or there. But the process and the methodology that’s been used has been consistent with in the past. There hasn’t been any real deviations and we don’t expect there to be anything different with our case, going in with a case that’s not as big as some others have gone in with. And as we mentioned in the prepared remarks, if you look at Page 12 in the deck, we’ve done really well by our customers over a time period that has seen a lot of inflation. We’re really not anticipating this to be a very contentious case.
Constantine Lednev: Excellent. I personally appreciate that. Thanks. Thanks for taking the questions.
Ralph LaRossa: Thanks, Constantine.
Operator: The next question is from the line of David Arcaro with Morgan Stanley. Please proceed with your question.
Ralph LaRossa: Hi, David.
David Arcaro: Hi, thanks. Good morning. Hey, Ralph. Hey, Dan.
Ralph LaRossa: How are you?
David Arcaro: Good, good. Ralph, I think in the past, you’ve thought that there could be some upside to the PJM load growth outlook in New Jersey, and we’ve obviously seen some of that get reflected in the latest load forecast. We’ve also seen some state initiatives pushing for AI and data centers. So I guess what are you seeing on the ground in terms of data center activity, any upside to latest load growth expectations?
Ralph LaRossa: Yes. So a couple of pieces there, David. First of all, on the state level, we were very happy to see the PJM listened to our recommendations and most importantly, to the state’s policy. And so they have reflected both of those things in their latest forecast. That being said, PJM is a lot bigger than the state of New Jersey. And so we’re hoping that PJM takes a look across its entire footprint and make sure that the same methodologies are being used and a consistent methodology in all the states. States have different policies. So they may have different outcomes, electric vehicles being a great example, but how that – how any of those loads are being looked at should be consistent in our opinion, across the entire footprint of PJM. And then specifically in our backyard, we are starting to see some data centers pop up here. I would say – so far, what we have seen is somewhere in the neighborhood of 50 megawatts to 100 megawatts, but those conversations are just starting. Again, if you think about what the state has been pushing from an economic development standpoint, there is a lot of AI activities. The Governor is trying to entice some companies to move into the area. Once that happens, there might be some more opportunities for us. And our system is really well positioned. We have talked for years about the build that we did on the transmission side and the self transmission upgrades that we have been doing. It’s driving some last mile investments for us, but that’s also, again, consistent with what we have talked about with you all in the past.
Dan Cregg: Yes. And David, just a reminder, we do have the conservation incentive program that’s in place, and so what this matters more from our perspective, it’s less about the particular road growth and the volumes that we would sell. It’s much more about the infrastructure needs to have these folks be able to set up shop here in New Jersey.
Ralph LaRossa: Yes. And the only – think about it this way, too, David, is if Dan is putting in a data center, he is going to use 100 megawatts, that’s 100 megawatts more to spread the costs over for all the customers. So, it also creates more headroom for our residential customers. So, all bits of it come together in a positive way.
David Arcaro: Yes, that’s helpful. Got it. Thanks. And am I hearing you correctly that I am wondering about the potential T&D CapEx opportunity that could stem from this so far. Are you thinking it’s kind of within the programs that you are – that you are growing already. I am wondering if there is potential incremental upside if this becomes a bigger driver.
Ralph LaRossa: Yes. We would certainly signal that to you if we did. But I think what Dan and Carlotta and I have been saying wherever we have been going has been, right now, we have got our last mile investments that we need to make. And then if you look at our CapEx bar charts, we have a few – a little bit of upside that’s built into the high and the low, but there is nothing that I would say is incrementally driving us above those charts that we have provided in the past.
David Arcaro: Yes. Okay. Got it. Thanks. Then I was just wondering, as we think about affordability in the state, I was wondering if you could run through just the elements of rate headroom that you see looking forward, things that fall off of the rate plan, I am thinking storms, ZECs, etcetera, just to put the rate case increase into perspective.
Ralph LaRossa: Yes, David, I am going to let Dan walk you through that, but because there is a lot of puts and takes that we have been taking people through, but start with Page 12 and take it from there.
Dan Cregg: Ralph, these were up exactly, right. I think – I tend to not think about it as headroom as available dollars. I would just try to think about it as maintaining an affordable bill for the State of New Jersey. And if you take a look at Page 12, it shows that we have done a very good job of doing exactly that over the last 5 years. And this is on a relative scale, but I think we have been able to manage the system very well at an affordable rate. And also with the reliability that Ralph talked about in his prepared remarks and also the customers Ralph that you talked about within those remarks. You do mention something that I think is important as well. If we take a look at the ZECs that will roll off in May of 2025, you will see a couple of hundred million dollars that will come off of PSEG customers and closer to $300 million across the state. So, that is I think a benefit from an affordability perspective to the extent that there is capital that’s needed for the reliability of the system and some of the energy transition that can help in that regard. But we don’t really think about it as headroom, we think about just trying to maintain as affordable bills we can while we are still providing quality service to customers.
David Arcaro: Great. Thanks so much. Appreciate it.
Ralph LaRossa: Thanks David.
Operator: [Operator Instructions] Our next question comes from the line of Durgesh Chopra with Evercore ISI. Please proceed with your question.
Durgesh Chopra: Hey team. Good morning. Thanks for letting me.
Ralph LaRossa: Good morning.
Durgesh Chopra: Good morning Ralph. Just on the $3.1 billion energy efficiency filing, maybe can you just clarify, is that the spending, is that over a 6-year period, or is that from ‘25 to ‘27, that’s part one. And then part two, when should we expect a decision from the commission on that?
Ralph LaRossa: Yes. So, great questions, Durgesh. And it can be a little confusing because they do talk about the period as a triennial period. And so that ‘25 to ‘27, it’s actually 2.5 years, which is the reason for some of the extensions that you have seen and that we remarked upon earlier in our prepared remarks. Think about that 3-year period as being the period during which you are going to get the commitments to actually have the work get done. But we have described for folks, and it’s important given the magnitude of the numbers that it’s understood that the actual spending to satisfy those commitments is going to be done closer to a 5-year to 6-year period.  So, I think that’s how to think about it. It is described as a triennial period, but that’s more about getting the commitments. The spend will be over a little bit longer period. And the schedule that’s in place right now is for us to move forward. We made that filing, if you recall, December 1st. We did that at the same time as all of the utilities in the state. And you should see in the third quarter to fourth quarter. I think it’s October of this year coming up is the estimated date for us to get an outcome there.
Durgesh Chopra: Got it. And that process is separate and independent from the rate case, right? Just to be clear.
Ralph LaRossa: Yes, that is correct.
Durgesh Chopra: Okay. Perfect. Thank you. And then can I just quickly follow-up, Dan, just latest thoughts and your discussions on the nuclear PTC and where do we stand on getting guidance in terms of timeline and what to expect there?
Dan Cregg: Yes. We are still in a waiting game to guess. I wish I had a different answer for you. Treasury, as we have spoken to them last, which is just a couple of months ago, we made them aware as we do every time that we can, that it’s important for them is try to get the rules out sooner rather than later. But as we sit here today, they have not issued a date by which that they will provide that guidance. So, we are just awaiting their answer. I don’t have anything more specific, I wish I did.
Durgesh Chopra: Thank you very much. Excellent. Thanks guys.
Dan Cregg: You bet.
Operator: Our next question comes from the line of Carly Davenport with Goldman Sachs. Please proceed with your question.
Carly Davenport: Hey. Good morning. Thanks for taking the questions.
Ralph LaRossa: Good morning Carly.
Carly Davenport: Maybe just to quickly follow-up on Durgesh’s question there. As we think about the interim before we get the PTC guidance, how should we think about the hedge program in the meantime, should we expect to see any potential incremental ‘24 hedges or starting to layer in ‘25 hedges between now and then?
Dan Cregg: Yes. Carly, so we have provided some data with respect to where 2024 is. And we do have some hedges out for ‘25, obviously, at this juncture. I mean it is a little bit more challenging, but you don’t know exactly how they are going to come out with that definition of gross receipts. And so what we have tried to do internally is just take a look at what some of the potential most logical outcomes could be and try to triangulate off of that to try to basically do exactly what we have always done is try to minimize the overall risk inherent with that business. And so if under different scenarios, you could see a moderation of risk by moderating our hedges a little bit. That’s basically what we are going to try to do, again the objective of being identical to where it has been in the past to minimize the overall risk. And if there is a little bit of a different hedge position we might want to put on to do that, that’s what we would end up doing.
Carly Davenport: Got it. Okay. That’s really helpful. And then maybe just as you think about managing O&M, can you just talk about some of the moving pieces we should be keeping in mind for 2024. I know that there might be some upward pressure from some of the nuclear outages that you have, but anything that you would flag on O&M for ‘24?
Ralph LaRossa: Yes. No, there is nothing really. Just a reminder, though, for everyone, we really have that great outcome that we had with our union negotiations where we have labor certainty starting last May and continuing where we had – we negotiated a 4-year deal with our unions at 4% increase than 3%, 3% and 3% in the subsequent year. So, there is no surprises that we see on the horizon from that aspect and there is a lot of talk certainly about fuel prices on the nuclear side, which we can give you some more about if you are interested. But it’s such a small percentage of the overall O&M that we have that it’s really – it doesn’t become a material conversation for us at this point. So, we don’t really see anything that’s coming at us there is always storms and there is other activities, but nothing that we specifically are concerned about.
Dan Cregg: And even just to follow-on Ralph’s comments for ‘24 the nuclear fuel comment, most of what we will incur for 2024 is what’s in the reactor already. And so as we do step through the time, you have seen some increment in those markets. But for 2024, you shouldn’t expect anything very different.
Carly Davenport: Got it. Okay. Great. Thanks so much for the time.
Dan Cregg: Thanks.
Operator: Thank you. Our next question is from the line of Ryan Levine with Citi. Please proceed with your question.
Ryan Levine: Good morning everybody.
Ralph LaRossa: Hi Ryan.
Ryan Levine: One follow-up on nuclear, should we expect that there is a plan in place on what you would do once you get the treasury regulation around tax policy that you could roll out shortly thereafter or is there a more delayed timeline in terms of response that we should look for?
Ralph LaRossa: Yes. Ryan, I can’t say enough about Dan and his team as far as how much they have done as far as looking at a bunch of different options right now. So, I think we are very well positioned to act when we need to act and they have been very thoughtful about that. But I will give it to Dan to give you any more specifics.
Dan Cregg: Yes. I mean I think Ralph said it, we have done a lot of work trying to understand where this could come out. I guess I would say the treasury has given us the time to do that work by not having some guidance out as early as we might have liked. So, in those situations, what you do is you try to think about where they may come out with guidance and to prepare yourself to be ready for any of those outcomes. And so that’s what we have been doing.  To your – the other part of your question, yes, we would let you know what our response will be after it does come out, we are able to thoroughly read through everything and make sure that we understand all the nuances that may or may not be in what comes out. I hope when it does come out, it will be won [ph] and done. Instead of guidance that we will have incremental guidance to follow, it would be great if it was – if it comes out on full form, but we will definitely share how we are approaching things once we know what the final rules are.
Ryan Levine: Great. And unrelated, I think you were touching on time of use rates as being important for the data center potential opportunity in New Jersey. Is that – am I hearing that right? And is there any rate design mechanisms that are being discussed to maybe further attract that industry development in the state?
Dan Cregg: Yes. So, maybe a little bit less from a data center perspective, but certainly from a broader perspective, if you think about EVs, one of the things that we did touch on was that time of use rates is a topic that we would anticipate that we would work through within this rate case. And I think in Ralph’s prepared remarks, you talked about that being helpful to those that ultimately have EVs and could encourage some incremental adoption there. But that’s more where you would find it in the rate case and less about data centers more about electrification and EV.
Ryan Levine: Great. Thank you very much…
Ralph LaRossa: Which is really well positioned, Ryan, between the SIP that we have had in place for some time and where we are from a rate structure standpoint that Dan’s comments were bid on.
Ryan Levine: Thank you.
Dan Cregg: Thanks Ryan.
Operator: [Operator Instructions] There are no further questions at this time. And I would like to turn the floor back to Mr. LaRossa for closing comments.
Ralph LaRossa: Great. Thanks. Listen, this – I think the fact that we have got, we only have five questions on this call, folks asking questions that at the end of the day, it was another uneventful call for us. And that is just really what we are hoping to put in place as we have worked really hard as a team to close out our first full year together. 2023 was the year of execution that came across from a number of different areas in our company. But it’s all built on the base of a utility that’s really uniquely positioned. It’s got – it’s provided affordable service for its customers, it’s provided reliable service for its customers and its continued to deliver high-quality service based upon the results of all the polling that we do with our customers and J.D. Power just being one of those examples. And then you just combine that with a nuclear fleet now has continued to be more predictable, not only because of what we are seeing from the revenues side and the PTCs, but from an operating standpoint, you see in our deck, we went from 92% capacity factored and 93% capacity factors this year, and we will continue to improve on that. That’s our expectation. We want to continue to provide that great revenues from those plants that’s going to provide us with the opportunity to continue to not issue equity, and not sell any assets and continue the growth that we have had on the utility side. So, we thank you for all the support that you have given us over 2023, and you can expect from us the same consistent and uneventful progress that we have made throughout this past year. So, thanks and have a great day.
Operator: Ladies and gentlemen, this concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.